Operator: Good morning. And welcome to the Third Quarter 2015 Earnings Call for Chimera Investment Corporation. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. Any forward-looking statements made during today’s call are subject to risks and uncertainties which are outlined in the risk factors section in our most recent annual and quarterly SEC filings. Actual events and results may differ materially from these forward-looking statements. We encourage you to read the forward-looking statement disclaimer in our earnings release in addition to our quarterly and annual filings. Additionally, the content of this conference call may contain time sensitive information that is accurate only as of the date of this earnings call. We do not undertake and specifically disclaim any obligation to update or revise this information. Participants on this morning’s call include, Mr. Matthew Lambiase, President and Chief Executive Officer; and Mr. Rob Colligan, Chief Financial Officer; and Mr. Mohit Marria, Chief Investment Officer; Mr. Choudhary Yarlagadda, Chief Operating Officer; and Mr. Bill Dyer, Head of Underwriting. I would now like to turn the conference call over to Mr. Matthew Lambiase. Mr. Lambiase, the floor is your sir.
Matthew Lambiase: Thank you. Good morning. And welcome to the third quarter 2015 Chimera earnings call. I will make a few comments on the quarter, Mohit will give an update on the portfolio and then Rob will review the financial results for the period. Afterward, we will open up the call for questions. First, I would like to update you on our transition to become a fully independent internally managed mortgage REIT, which became effective on August the 5th. We continue to make strong progress on our transition to internalizing the company's investment management function and we are on schedule to become a completely self-managed REIT by the end of 2015. Since our last earnings call, Chimera has physically moved its entire team, inclusive of operation into new office space. We have begun hiring new personnel to successfully complete the transition and we've been working on completing the transfer of technology and systems. While Chimera had maintained separate dedicated portfolio and accounting teams when it was externally managed by FIDAC, we had shared legal, technology and administration personnel. To ensure a seamless transition to internal management, our Board negotiated a transition services agreement with FIDAC that allows us to continue to dropdown upon their resources until we’ve fully established our internal infrastructure. Internalization of management is an important positive development for Chimera, both the Board of Directors and management believe that over time internally managed REITs will be valued at a premium to externally managed REITs, because the structure more closely aligns Chimera’s management with the interest of our shareholders. Chimera’s management compensation is now directly tied to shareholder returns generated by the operation of the company, which increases the focus on long-term shareholder value creation. Our shareholder friendly approach is underscored by the $250 million share buyback program that we announced in the second quarter earnings call. The first purchase under this program was to buy back Annaly’s 9 million shares or roughly 4% of Chimera’s outstanding equity. Over the remainder of the third quarter the company successful repurchased an additional 7.6 million shares of Chimera’s common stock valued at approximately $105 million at an average dollar price of $13.81. All of these additional purchases were executed in the open market. In aggregate this program -- in aggregate this quarter the company repurchased $231 million of its stock completing 92% of the authorized program. During this period the equity markets priced mREIT shares at the deep discount to the net asset value and a very high yield. We found repurchasing our shares to be a compelling use of our capital and will create long-term value for our shareholders. Further, we believe internalization will enable us to achieve one of the most competitive cost structures in this sector for our shareholders. Historically, Chimera has been one of the lower cost operators in the mortgage REIT space. Our fees were 1.5% of equity with no performance bonus. In 2014 the Board of Directors negotiated a lower management fee of 1.2% of equity from our external manager. Now through internalization we believe our anticipated cost savings to shareholders should be an additional $4 million to $8 million annually. We’ve planned to have one of the lowest G&A expense ratios in the mortgage REIT sector when the internalization is complete. Let me move on to discuss another key development in the quarter. We are pleased to announce this morning that Chimera captive insurance company has been accepted as a member of the Federal Home Loan Bank of Des Moines. The Federal Home Loan Bank system has been rock of stability for the funding U.S. mortgage market since 1932. Federal Home Loan Bank membership offers a number of superior funding options for mortgage collateral. These options are longer in term and more certain in periods of market turbulence than many other alternatives from other counterparties. FHLB membership is very complementary and additive to the funding capacity of our business. We now have relationships with 29 financial institutions that provide us with funding. To further enhance our management of both risk and liquidity, we have been working to increase the number of non-agency repo counterparties and the duration of funding of our non-agency securities. Chimera now has 12 non-agency repo counterparties with a weighted average repo term of 197 days. Liquidity for non-agency financing has become more readily available and we've executed with counterparties offering repo terms as long as three years. While the fixed income markets in the third quarter continued to be volatile, we believe Chimera is well-positioned. With uncertainty surrounding the Fed decision to increase short-term rates, elevated agency mortgage-backed prepayment speeds and a widening of credit spreads in certain products has made it a very challenging environment. We have taken important actions to position our portfolio for this environment, including reducing interest rate risk by lowering our agency portfolio by $2 billion, increasing the notional balances of our interest rate swaps and extending out the non-agency financing. These steps have served us well to lower the volatility in our book value and to increase our funding liquidity. While these actions had a cost to the earnings stream of the company today, we believe that given the uncertainty in the market defending book value for the future is the right path to maximize value for shareholders over the long-term. Chimera operated at 2.5 times recourse leverage and produced the dividend yield of excess of 13% in the quarter. Overall, we're very excited about the future of our business. As an internally managed REIT we believe we have the corporate structure to drive shareholder value creation and that residential mortgage credits still provide some of the most attractive risk adjusted leverage returns in the fixed income market. We have continued to see opportunities to acquire attractive mortgage assets and look for new ways to enhance our risk and liquidity portfolio in order to continue to produce high and durable dividends for our shareholders in the quarters ahead. Now, with that, I would like to turn the call over to Mohit, who will discuss the portfolio for the third quarter.
Mohit Marria: Thanks, Matt, and good morning everyone. I will briefly review macroeconomic factors first and then go over the investment activity for the quarter. As Matt mentioned, the third quarter was volatile for both global fixed income and equity markets. Continued concerns around slowing emerging market economies and falling commodity prices contributed to the Federal Reserve and its monetary policy remaining on hold at their September FOMC meeting. During the quarter, we saw a rally in interest rates accompanied by a broad-based widening of risk premiums. Spreads widened across most fixed income assets and mortgage market was not immune. Spreads widened on agency MBS, non-agency MBS and CMBS. While spread widening is negative near-term for book value that improves our earning potential as investment returns on both agency and non-agency assets have increased. Our credit sensitive portfolio continues to perform well. Home prices, delinquency rates and [household] [ph] information are still showing improvements. These strengthening fundamental continue to bode well for our season non-agency mortgage portfolio. Given the strength, we continue to deploy capital and continue to seek new non-agency investments. During the third quarter, we increased our non-agency holdings by $115 million. In addition to our secondary activity, Chimera successfully called 699 million of Springleaf 2012-2A and issued 699 million of CIM 2015-3AG deal. Let me take you through some of the key economics of the transaction. When we exercised the call on Springleaf deal, there were 499 million of balance outstanding paying an average interest rate of 4.14%. Chimera’s equity investment in the deal was $200 million. In the new deal, we were able to sell 521 million senior bonds paying an average interest rate of 2.18%. We were able to reduce financing costs by over 195 basis points and achieve a more favorable advanced rate reducing our equity position to $178 million. These additional proceeds generated through better advanced rates were able to be reinvested in non-agency MBS. Chimera has four remaining Springleaf deals we could potentially call over the next year. With uncertainty surrounding Fed monetary policy and the impact of low rates on prepayments, we’ve been defensive on our agency MBS component of our portfolio. As discussed in prior earnings call, Chimera has over the course of the year reduced our agency MBS exposure by $2.5 billion. Furthermore, Chimera has also increased its hedges by $1 billion late in Q2. At the same time, we have deployed capital in agency CMBS. This portfolio has grown to over $850 million since the start of the year. These securities offer better convexity profiles in agency RMBS securities due to the prepayment protection they offer. With the Federal Reserve still mulling over monetary policy moves, adjusting the portfolio mix to less rate sensitive products will help longer term returns as well as preserve book value. With the yield curve remaining steep, asset prices reflecting increased risk premium, low leverage on our existing portfolio and financing cost remaining stable, Chimera remains in a good position to generate above average return for its investors. With that, I will turn the call over to Rob who will discuss our financial results for the quarter.
Rob Colligan: Thanks, Mohit, and good morning. I’ll now review selected financial highlights for the third quarter. Our economic return on equity for the quarter was a positive 1.4% based on a decrease in economic book value, offset by dividends per share. GAAP net loss for the third quarter was $48 million, down from $116 million last quarter. On a core basis, net income for the third quarter was a $98 million or $0.50 per share down from $109 million or $0.53 per share last quarter. GAAP book value ended the quarter at $16.38 per share, down 2.1% from the second quarter while economic book value ended the quarter at $15.28 a share, down 1.7% from the second quarter. Third quarter net interest income was $144 million, down from $150 million last quarter. The yield on average interest earning assets was 6%, down slightly from 6.1% last quarter and our average cost of funds was 2.6% up from 2.5% last quarter. Our net interest spread was 3.4%, down from 3.6% last quarter. The reduction of interest income and spread was primarily driven by defensively position portfolio and increased borrowing cost as revoked counterparty providers increased rate in anticipation of a rate hike. In addition, swap costs were higher and elevated prepayment fees continued this quarter. Although it’s a challenging quarter to manage interest rate risk, our net interest return on equity was 15% for the quarter unchanged from last quarter. Annual dividend yield for Chimera was 14% based on the third quarter dividend of $0.48. During the third quarter, we purchased 16.6 million shares or 8% of shares outstanding. And we are authorized to purchase an additional $90 million of Chimera stock in the future. We will see the full impact of the buyback on earnings in the fourth quarter. The calculation of earnings this quarter was based on average outstanding shares of 198 million while we currently have 189 million shares outstanding. Core earnings would have been $0.52 per share based on the current shares. Moving to expenses. Expenses are generally in line with prior quarter. Prior to the internalization, the combination of management fees and G&A expenses were running at approximately $15 million per quarter. This expense run rate excludes deal expenses for securitization and servicing fees for consolidated loan securitizations that we do not control. We expect expenses to remain closed or slightly higher to this level for the fourth quarter as we finalized the majority of transition initiatives. Chimera has leveraged consulting other professional service firms during the transition which started this summer and will continue through the end of the year. As the transition initiatives wind down and we finalized hiring, G&A expenses specifically for professional services will decline but will be replaced by compensation expenses for individuals that we have and will hire. At this point, all senior positions of the company have been filled and we’re actively recruiting for the few remaining positions we have open. Related to compensation, our Board of Directors has restructured management compensation to better align the management team with our shareholders. To achieve this goal, a large portion of executive compensation will be paid in the form of restricted shares. The first grant is expected to incur in the first quarter of 2016 and the related amortization of the stock compensation will start then and will continue generally over three-year vesting period. There are number of moving pieces related to expenses but to summarize, we expect G&A expenses excluding one-time securitization cost and servicing fees to run approximately $13 million to $14 million per quarter in 2016, a $1 million to $2 million cost savings per quarter compared to the prior externally managed structure, resulting in one of the lowest expense basis in the sector. That concludes our remarks and we’ll now open the call for questions.
Operator: Thank you, sir. [Operator Instructions] The first question we have comes from Steve DeLaney of JMP Securities. Please go ahead.
Steve DeLaney: Good morning, everybody. And thanks for taking the question. Rob, just to confirm your $0.50 core EPS, I don’t believe you added back the one-time deal expenses of $2.4 million, is that correct?
Rob Colligan: That’s correct. Yeah, that would have been another penny, but yeah, we don’t exclude those. We highlighted because the securitization cost can be a little bit lumpy in the run rate, but it is a real expense so we don’t exclude it from core.
Steve DeLaney: Got it. Obviously it’s cash. So okay, fair enough on that. Matt, you guys have been very aggressive with the buyback basically doubling almost what you did with Annaly, but you’re about 92% utilized, any thoughts as to whether the Board would be receptive to giving you a fresh incremental authorization, just to have some flexibility depending on where the stock goes?
Matthew Lambiase: I think that’s up to the Board. I know we do have 8% of the authorized buyback still to go. So I don’t think they would make any determination until that’s all been used up, and so it’s really the Board’s decision what they want to do.
Steve DeLaney: Understood. Okay. Thank you. And just finally to pick up on the comment about defending book value and lowering interest rate, clearly you’ve done that, 2% down is going to show up on average across the agency and hybrid REITs, that’s going to be a very good performance in this quarter for reasons that you guys know better as well as everyone else. But I was just wondering looking at your agency allocation, I think Mohit said you’re down $2.5 billion. But as we look at that, you’re currently 23% or so of your equity it looks like to me. We look out to 2016, do you have a strategy to may be further lower the agency allocation as you find additional attractive opportunities that would be consistent with meeting your 40 Act exemption?
Matthew Lambiase: Yeah, I think that’s right, Steve. I mean, ideally, we would like to have less agencies on the book and we would like to drive the capital with mortgage credit assets. If they become more attractive, they are becoming more attractive. I think liquidity in the mortgage credit market and given the agency market, it’s pretty bad going at the year end. I think there will be some more opportunities for us potentially with the price actions where they are and like Mohit said earlier. These spreads are much more attractive than they were earlier this year right now. So ideally we probably will look to increase some of our mortgage credit holdings if liquidity continues to be poor going at the year end and spreads continue to be wide.
Mohit Marria: And I will just add to that, I mean we’ve added to the resi credit book all year and with spreads wider going into year end as Matt alluded we continue to add credit sensitive assets as opposed to rate sensitive assets.
Steve DeLaney: And Mohit, have you started to look at more closely at any of the GSE risk transfer securities, I haven’t heard you mention those specifically?
Mohit Marria: We’ve looked at them, but we have not participated to-date in those transactions. We’ve looked at, [stopped] [ph] that, Wells Fargo and Chase have done on similar sort of credit risk transfer, which are linked to us and we’ve participated in the inaugural deal last year. But since that point, spreads have tightened quite substantially and anytime an opportunity presents itself, we will take advantage of it.
Steve DeLaney: Got it. Well, thanks for the comments, guys. And Rob really appreciate the clarity on earnings and -- excuse me, clarity on expenses, I know that was a hot topic on the second quarter call and that helps us a great deal. And so thanks for the comments and look forward to seeing you guys next week. Thanks.
Operator: Next, we have Brock Vandervliet of Nomura Securities.
Brock Vandervliet: Great. Thanks for taking the question. I know Steve took a crack at it, but I will follow up. I guess, obviously, Board decision on the buyback, but it seems like that you’re very aggressive, you’re down to kind of tag ends relative to the existing authorization. The rest of your book has been shrinking. It would seem like that should be a continued compelling use of capital.
Rob Colligan: Yeah, I mean, I think like I said before Brock, it’s the Board’s call what they want to do. We certainly found it to be the right thing, especially and frankly in August. It was very hard for anybody to argue that buying back stock at the prices that were available in August was not the right thing to do for shareholders over the long run. And we think it’s -- I think currently it’s a very compelling value.
Brock Vandervliet: Okay. Just on the yields and costs, it seems like there has been a pretty steady grind down on asset yields and uptick in cost, you touched on some of the drivers there, but any sort of color or guide looking ahead on what the overall spread could be?
Rob Colligan: Obviously, we saw repo counterparties as I mentioned increase their funding costs. I do think that the drop that we saw on the spread this quarter was may be not as significant as we’ve seen in other quarters. I think we’re starting to see some stability. But when you compare our spreads to our peers, I think the thing that you will see is our legacy portfolio is much higher yielding than others, but obviously it’s not a permanent asset and will burn down over time. It’s our job to find other interesting opportunities that can maintain a very good risk adjusted return over time.
Brock Vandervliet: I guess absent other growth, there would be no reason not to expect further yield declines going forward, correct?
Rob Colligan: Well, the other piece that we have is leverage, right. Our leverage is very, very low. We could increase some spreads while adding leverage.
Matthew Lambiase: It’s actually one of the issues of having such a good legacy portfolio is that we have a lot of assets that have very high yields to the company that we bought and put in the books back five, six years ago and they are thankfully very slowly paying down. But when they do pay down, it’s very hard to replace something that’s yielding 16% in this marketplace. So as time goes by, it really becomes an issue of, okay, you’re going to have to take leverage up to maintain the same amount of income in the portfolio over time. And we’re certainly low enough levered that all works for us.
Brock Vandervliet: Okay. Thank you.
Rob Colligan: Thanks, Brock.
Operator: The next question we have comes from Doug Harter of Credit Suisse. Please go ahead.
Doug Harter: Thanks. Just a follow-up on that last question. If you could try to help us put some range around how much capacity you would have on the levered side and where that would, which pieces that would sit at?
Mohit Marria: I mean, we have capacity both on the agency and non-agency side. I mean, we are right now as Matt alluded to in his opening comments, 2.5 times levered. With a comfortable - recourse leverage, we could comfortably take that up to at a minimum of 3 times leverage and then we could reevaluate the portfolio at that point in time. But given the spread widening that’s occurred since the start of the third quarter, we think that should be pretty accretive and that we have plenty capital to do that.
Doug Harter: Yeah. And I guess the spread widening, has that gotten to a point where you are kind of actively sort of taking leverage up now, or do you kind of wait and expect more spread widening before you kind of -- before doing that?
Matthew Lambiase: The mortgage market currently is relatively illiquid, I would say. And it’s not -- earlier in the year and certainly last year, there was a lot more liquidity in the mortgage credit markets. I think right now, Mohit and I both believe that the market’s kind of liquid going at the year-end. There has been several large dealers, the Deutsche Banks of the world and other people that have been scaling back their operations. And I think the market is readjusting to people exiting and new people coming in and year-end is -- it would be hard for me to believe that we are going to get more liquid and better going into year end, frankly. So, I think there will probably be more opportunity later in this quarter than there is right now.
Doug Harter: Got it. And then just touching on the cost structure, I would agree with your assessment that being internally managed is a long-term positive. How do you deal with -- or how scalable are the costs as you’ve now taken out 8% of your shares and a fair amount of your equity, will you be able to kind of scale down the cost by a comparable amount to sort of keep the expense ratio kind of where you guys want it?
Matthew Lambiase: Yes, I think we can. And I think we can and I think we are poised as well and I think the benefit that we see is, if we do scale up, we won't see any big increase or meaningful increase in expense. So, I think we’ve thought about it more the other way. If there is growth in the future, it doesn’t comment, 150 basis points for every dollar of capital we raise.
Doug Harter: Right. No, I think it’s clear that it works on the way up, I was just wondering on some juice. Rightfully, you bought back a fair amount of your stock. How we should think about the expenses in that context?
Matthew Lambiase: I think the numbers that we put out, we are thinking about it more in terms of total dollars spend. But I take your point. We will come back to it with some more clarity on our basis points. I don’t think we've really discussed internally, maybe even future buybacks and how we would scale expenses down. We were thinking more on the upside.
Doug Harter: Okay. No, makes sense. Thank you.
Operator: Charles Nabhan, Wells Fargo.
Charles Nabhan: Great. Thanks. Good morning, guys. Appreciate the color on expenses and cost savings. But as we look into 2016, could we expect the normalized run rate for cost, for expenses starting in the first quarter, or how should we think about that from a timing standpoint?
Matthew Lambiase: Yeah. I think when we look at the first quarter, you will see normalized run rate at that point. The majority of our internalization efforts will be done by year-end. So, I would think that costs will be relatively very staying stable, starting the first quarter of ’16.
Charles Nabhan: Okay. And as a follow-up again, as we look into ’16, there's a number of tailwinds to earnings, which you've outlined including expense leverage, buybacks and the benefit of securitizations. Now with that said could you comment on the alignment of core earnings and taxable earnings and whether we could you see potential upside to the dividend given that you're covering it by couple pennies now and with the tailwinds to earnings that we are thinking about for 2016?
Matthew Lambiase: We haven't forecasted and provided guidance on 2016 yet. One of the things the company has done to provide stability is to pre-forecast dividends. We are in the process of looking at 2016 results and we will discuss that currently, as well as with the Board and make some recommendations early part of next year. But it’s a little early to provide that information.
Charles Nabhan: Okay. And if I could get one more in. It looks like there was about a $200 million increase in the agency commercial portfolio. Can you just give us some color around the nature of those investments?
Matthew Lambiase: Sure. We've invested in Agency CMBS securities, multifamily project loans, stuff of that nature to reduce our Agency RMBS exposure. We feel that, on the prepayment protection that the Agency CMBS market offers as more creative and less dependent on what happens to rates and the fed outlook.
Charles Nabhan: Okay. Great. Thank you.
Matthew Lambiase: Thank you.
Operator: Next, we have Mike Widner of KBW.
Mike Widner: Good morning, guys. I think you’ve covered most of it. Let me just ask, kind of a small follow-up here. You mentioned a couple times, taking the agency portfolio down ahead of potential fed tightening et cetera. That was earlier in the year and this quarter, it actually grew a little bit q-over-q. I mean not much but a little bit. And I didn't see anything about adding swaps or hedges or anything like that. So just curios if you had comments on that. I mean, you are happy with sort of where it stands and is that what this is a reflection of, or do you still think that you might be shifting capital away from agencies and to creditor whatever?
Matthew Lambiase: The ultimate goal is to shift capital from agencies to credits instead of assets. As you alluded to the portfolio, was up slightly. That was just more reinvestment. I think the goal is to keep it flat quarter-over-quarter. Obviously, there was some spread widening in the MBS space to the extent that leaks into Q4. We would take it that as a lap in the near term as we find other opportunities in credit to invest capital.
Mike Widner: And just…
Matthew Lambiase: I’m sorry.
Mike Widner: So, just to be clear on that, I think what I’m hearing you saying and correct me if I’m wrong is that with the spread widening in agencies, you actually find them relatively more appealing right now just because the spreads widened. So, we might actually see that continue to go up slightly before following. Is that how I interpret what you said?
Matthew Lambiase: It could unless -- again, if something happens and there is redemptions from hedge funds or other opportunities in credit that present themselves between now and year end. The primarily focus would be to take those opportunities and deploy capital there. But if agencies widened, we were going to continue to potentially look to add there in the near term.
Mike Widner: Got you. Makes sense. Thanks.
Operator: Lee Cooperman, Omega Advisors.
Lee Cooperman: Thank you. Appreciate all the information you’ve given thus far. Just four, five question and you could hand to anybody you want. I’m not sure I understood the comment or internalization. You said something about the $4 million to $8 million cost save. Was that your best guesstimate at this time, what you would save by internally managing versus external manager? That was question one. Question two. In terms of management or Board whatever, which book value do you guys indentify with more realistic GAAP at $16.38 or economic of $15.28?. My impression is that we will gravitate towards GAAP. Just curious which number you look at? Third, the question was asked on the buyback. As a lot of shareholders, let me just say this if we can earn 13% to 15% on equity, we're not getting credit for an increased dividend. And I would just assume, if we could be buying back a stock at 80% or more below the correct book value number and you have optimism about your outlook, I would favor maintaining the dividend, taking as much cash as we could generate to buyback equity, so this one vote give you some guidance to extent that it’s relevant. And I think it will be a great use of money, buying back stock at 80% on lower book value, assuming we can do 13% to 15% on our equity. So that’s kind of a statement rather than question. And then finally, the option program that you are contemplating, do you have a sense of what percent of the market, of the outstanding shares that would represent? And I guess there is one additional question. Over a cycle, do you guys have a view of what normalized return equity would be for the company where you think you can sustain on average over a cycle? Thank you for any help you could be.
Matthew Lambiase: Hey, Lee. Just to clarify that last question, you’re looking for what our stabilized return on equity would be?
Lee Cooperman: Yes. Over a cycle.
Matthew Lambiase: Okay. Well, I start there and work backwards. So obviously, it’s up to us to return a good risk adjusted return. I think we feel on a regular basis, we should be low teens. I think if REIT’s paying out anywhere from the high single-digits 7%, 8% up to 12%, 13%, so we’re at the higher end of that range. And dovetail that with the buyback, obviously, our open-market purchases that are around $13.81 a share that was bought back at a yield of 13.9%, which we find compelling. I think in the market today and maybe pre-current widening, I think it was hard to find investments that would yield that 14% to 15%. So obviously, that buyback we felt was good and accretive. It depends on whether stock continues to trade. If it continues to trade at lower levels and as you said 80%, or we can buy that a 14%, 15% yield, it will continue to be attractive. As it starts to trade up and we start to get credit for all the activities, whether it’s the buyback, internalization, cost saves, low leverage, stable portfolio and we start to trade up. Maybe we’ll take the foot of the gas on the buybacks and obviously look to buy as Mohit mentioned credit sensitive assets. As far as the GAAP and economic book value, obviously, the economic book value has been a legacy disclosure that we had. It represents the assets that we own on a non-consolidated non-GAAP basis and it’s a way to look at the portfolio if we have to liquidate absolutely everything today in our portfolio that’s what the value would be. But obviously, the collateral value in the GAAP assets represent some future value that to extent that there is appreciation. As we mentioned, there is home price appreciation and a lot of the homes and mortgages that we own and we look at now when Bill and his team are looking at the credit characteristic, they do have equity in them. It’s not like where we were in 2008 and ’09, where a lot of people were under water. So even if there are some issues, we are seeing more equity in homes than there were in the past. So long-- it’s a long waited way of thing. There is equity and value in the assets that overtime will accrete to our subordinated bonds as the senior bonds payoff. So we would expect the economic to start migrating up towards the GAAP value overtime. And as far as the internalization cost, yeah, that $4 million to $8 million is off of our current run rate. So if you would have compared where the company would have been assuming 120 basis points on management fee plus its existing G&A compared to a fully internalized management structure, we expect to say $4 million to $8 million a year, roughly $1 million to $2 million a quarter.
Lee Cooperman: Got you. All right. So I think maybe misinterpreted, I didn’t properly phrase my question. On the economical GAAP book value, let just take $16 as an average of the two, over cycle what kind of earnings could that book value generate, could we generate a 13% to 15% ROE on a sustainable basis?
Matthew Lambiase: I would maybe temper that a little bit. It’s been a tough cycle, spreads are compressed, I would say, maybe 11% to 13%. I probably wouldn't push it to 13% to 15%. Obviously, we’ve been conservative managers of equity and wouldn’t want to try to crank leverage or take undue risk to get to a 13% to 15% hurdle. But in this market where the 10 years that may chose for us to earn 12% or so or $11 to $13 in that range, we think is a good rate of return in this market.
Lee Cooperman: Yeah. Thanks. Just to kind of go back to one question. The -- I think about two Qs ago, 10-Qs ago, you change the wording little bit about the dividend and you maybe comment that the, I think, it was $0.48 was the minimum expectation? I'm not lobbying for dividend increase, but I'm just curious, if one was to pull the Board or management and your choice was to bump the dividend because I guess, if you add back the non-recurring, you are more than adequately cover the dividend, which is better than a lot of your competitors who are not earning dividend. Would you think the board will prefer re-up being the buyback and keeping the dividend constant or raising dividend in lieu of increased buyback?
Rob Colligan: It’s a really good question. I think obviously, being in the REIT space, no one ever wants to cut their dividend. So we’re hesitant to ever push the dividend up too high then have to the cut. Just to remind everyone, we are one of the few in the REIT space that actually increase their dividend in the first quarter. We were at $0.45 a share last year. We move that up to $0.48. We feel like we’re covering that with our earnings today. It’s been a tricky year. We’re starting to look out and forecast 2016, obviously, given the uncertainties in the markets. We haven’t provided a lot forward guidance on where we think earnings will be in 2016. But we feel good about a nice solid, stable dividend and we’ll probably give more guidance about that piece next year. As far as buyback versus increasing the dividend, it’s a good question. I think it’s something that we’ll continue to discuss with the board either way. I think it is compelling and it’s important for us to continue to pay out low teens return and we can get to it either way by buybacks or increasing dividend.
Matthew Lambiase: I’d just like to add to that Lee that we have the ability and we had the ability all year to crack up leverage and increase the quarterly returns they had, we had wanted to do that. So when you do that you take market risk and you put your book value at risk. And we deliberately have been trying to lower the interest rate risk on our portfolio going into this year end, because Janet Yellen was on the tape earlier in a year saying that she’s going to raise rate. And whether or not she does in December or not, it’s still up in the air. But we take it very seriously, don’t want to fight with Fed. If they’re going to go and they think you’ll undertake a defensive position. Now we are in a great position, because we can be defensive. We can still produce the 13% return and we can be defensive going into the year-end. I think that is the right place to be. And you’re right, you will have to figure out when we get more clarity out of Fed whether we take out leverage or we increase and it’s going to be dependent upon where the stock price is, I think.
Lee Cooperman: You guys are doing a terrific job. So I bet that you figured out better than I figured out. But I think they will raise in December. I just want to make the point, 11% to 13% ROE, if we could do it. Would it make the stock sell over time at book value? So if we could buyback 80% to 85% on lower book value and you already yielding 14%, I would channel as much of your free cash into repurchase rather than rate of dividend.
Rob Colligan: Lee, as you can see from our actions in the quarter, we completely agree with you and I appreciate your comments.
Lee Cooperman: Great. Thanks for the good job you’re doing for us.
Matthew Lambiase: Thanks, Lee.
Operator: Next, we have Matthew Sporer of Lakewood Capital.
Matthew Sporer: Hello.
Matthew Lambiase: Hi.
Matthew Sporer: Hey, Matt. Hi, guys. How are you? Thank you for taking my call today. So just a quick question. First, I would just echo the comment that very pleased to see the level and the size of the buyback that was done in the quarter and certainly at price that was accomplished that. So I just wanted to -- I wanted to make sure I don't miss something here. But when I look at the reported core earnings was about $0.50, but if I take your quarter end share count that bumps it up to about $0.52. And then if I kind of adjust out for the transaction fees and what I think would bridge to your run rate expenses after internalization, I get that as adding another about two pennies to quarterly core earnings. I wanted to know if you guys agree with that math or if there us something I'm doing incorrectly there.
Matthew Lambiase: No, I agree with you. The securitization costs were little bit over $2 million that will be in penny. And then if we do achieve $1.2 million cost savings for quarter, you’re right it would be two sets up.
Matthew Sporer: Yes. When I look at the compensation, G&A and net management fees, I heard you guys had about $15.5 million, so if I use the high-end of the number that you put out, that’s kind of an incremental $1.5 million. And if I take the $2.4 million deal expenses, that is kind of about $4 million of nonrecurring/incremental savings so that would add about two pennies. Have you guys kind of had a normalized run rate core earnings of about $0.54 a share?
Rob Colligan: That’s about right for now.
Matthew Sporer: Okay.
Rob Colligan: Obviously, things change quarter-over-quarter.
Matthew Sporer: Sure. Absolutely. I was just trying to think about kind of what our exit run rate core earnings is versus the dividend. And appreciate that it can be volatile from quarter-to-quarter.
Rob Colligan: Sure. The only other thing I'll mention on core earnings, we studied metric a lot and looked at the peers. And what we found is certain other peers include and certain other peers exclude cost on features. We are one that we include those expenses in core. So that that expenses and so they realize expense every quarter, we had $9 million of expense this quarter. So if we were a different reporter, our core earnings would've been another $0.045 higher than maybe if our peer was calculating it. So it’s just another thing to highlight. We didn't change our core calculations for a lot of reasons. We wanted to keep it consistent and it is a realized cost, it is a part of the reasons why we left it in, but we did see that some others don't include that in their calculations. So what we did is we included the cost on our features in the footnote that way people want to in their own internal models for comparison to the peers. That number is now available and we’ll look to continue to provide that in case people want to benchmark versus others that do included in the number.
Matthew Sporer: Okay. That’s helpful. All right. Great. That’s all I have guys. I appreciate it.
Operator: Well, at this time, we will conclude our question-and-answer session. I’d now like to turn the conference call back over to the management team for any closing remarks. Gentlemen?
Matthew Lambiase: Well, thank you very much for joining us today on the Chimera third quarter 2015 earnings call. We appreciate the time you spent with us this morning and we look forward to talking to you in the New Year. Thank you.
Operator: And we thank you sir and to the rest of the management team for your time also today. The conference call has now concluded. At this time, you may disconnect your lines. And again, we thank you all for participating. Take care. Have a great day.